Operator: Good day, ladies and gentlemen and welcome for the Third Quarter 2014 Perficient Earnings Conference Call. My name is Cristal and I will be the operator for today. (Operator Instructions) I would now like to turn the call over to your host for today, Mr. Jeff Davis. President and CEO. Please proceed, sir.
Jeff Davis: Thank you and good morning, everyone. With me today is Paul Martin, our CFO. I want to thank you for your time today. As typical we've got about 10 to 15 minutes of prepared comments after which we'll open the call up for questions, of course. Paul, would you please read the Safe Harbor statement?
Paul Martin: Thanks, Jeff and good morning everyone. Some of the things we will discuss in today's call concerning future Company performance will be forward-looking statements within the meaning of the securities laws. Actual results may materially differ from those discussed in these forward-looking statements and we encourage you to refer to the additional information contained in our SEC filings concerning factors that could cause those results to be different than contemplated in today's discussion. At times during this call, we will refer to adjusted EPS. Our earnings press release includes a reconciliation of certain non-GAAP financial measures to the most directly comparable financial measures prepared in accordance with generally accepted accounting principles or GAAP. This is posted on our website at www.perficient.com. We have also posted a slide deck, which includes a reconciliation of certain non-GAAP goals to the most directly comparable financial measures prepared in the accordance with GAAP on our website under Investor Relations. Jeff?
Jeff Davis: Thanks, Paul. Well we're pleased to share our third quarter results with you. A quarter, in which, we continue to demonstrate the ability to drive bill rates higher, obviously leading to increased margins and in fact, services revenues were up 15% in the quarter with EBITDA margin up 30%, so we continue to scale [ph] the business and grow profitably. We'll talk more about this later, but we are in a nice spot I think heading into next year 2015 to capitalize on the foundational margin improvements, we've made over the last several quarters. We expect that will continue and in fact, we are going to pulling some levers next year to focus more on expanding the revenue base and driving accelerated organic growth. If we are able to increase the volume while maintaining or retaining to incrementally improve rates and I think, we will, it's going to be a powerful combination. Now regarding rates, we are at an all-time high of $150 an hour for North American employees and by way of comparison that figure stood at $137 an hour, a year ago. So about a 10% increase there in year-over-year and about 3% incrementally, sequentially quarter-over-quarter. We've talked for several quarters about our continued focus on developing and marketing Perficient-owned IT to our clients or software. On last quarter's call, we talked about having about $500,000 of assets sales in that quarter, in the second quarter and we built on that success last quarter, the third quarter by selling nearly $700,000 of in-house developed assets. We'll talk a bit more about Q4 in 2015 of course after Paul speaks in detail about the third quarter, but with just a couple of months left in the year. We've tightened our full year revenue and earnings guidance as you've seen. Within the quarter we sold 35 deals exceeding $500,000 each, and they average $1.4 million each in fact, that compares to 29 in the second quarter, that averages $1.1 million, and 25 in the third quarter of 2013 that averaged again, $1.4 million. So some seasonality there, but again 35 deals at $1.4 million each, this quarter compared to 25 deals at $1.4 million average last year. So again good year-over-year growth in terms of the large bookings and again, our land and expand strategy I think in place in demonstrating that is yielding results. With that, I'm going to turn the call back over to Paul for the Q3, recap.
Paul Martin: Thanks, Jeff. Total revenues for the third quarter of 2014 were $117 million, which represents a 21% increase over the year ago quarter. Services revenue were $100 million for the third quarter excluding reimbursable expenses and increase of 15% over the comparable prior year period. Services gross margin for the third quarter excluding stock compensation and reimbursable expenses with 39%, compared to 39.2% in the third quarter, 2013. SG&A expense increased to $22.2 million in the third quarter, 2014 from $20.5 million in the comparable prior year quarter. SG&A as a percentage of revenues decreased to 19% from 21.2% in the third quarter, 2013 primarily as a result of lower discretionary sales related cost and professional fees. EBITDAS for the third quarter 2014 was $20.7 million or 17.7% of revenues compared to $16.2 million or 16.7% of revenues in the third quarter of 2013. Third quarter, 2014 included amortization of $4 million compared to $2 million in the comparable prior year quarter; this increase is primarily associated with the 2013 and 2014 acquisition. Our effective tax rate for the third quarter, 2014 was 38.8% compared to 29.5% in the third quarter, 2013. The increase in the effective rate is primarily due to the expiration on the research and development tax credit, which is not been reenacted by Congress for as well as the recording of the US domestic production deduction for 2010 to 2013, which was recorded in the third quarter of 2013. Net income increased 1% to $7.3 million for the third quarter, 2014 from $7.2 million in the third quarter of 2013. Diluted GAAP earnings per share was $0.22 a share for the third quarter, 2014 compared to $0.23, in the comparable prior year quarter. Adjusted earnings per share increased to $0.37 a share from [indiscernible] 2014 from $0.32 a share from the third quarter of 2013. As a reminder, adjusted GAAP EPS is defined GAAP earnings per share, plus amortization expense plus none, stock compensation transaction cost and fair value adjustment of contingent consideration net related taxes divided by fully diluted shares outstanding for the period. Our ending billable headcount at September 30, 2014 was 1,867 which included 1,735 billable consultants and 123 sub-contractors. Ending SG&A headcount was 352. Now let me turn to the nine month results. Revenue for the nine months ended September 30, 2014 was $330.9 million, a 20% increase over the comparable prior period last year. Services revenues for the nine months ended September 30, 2014 excluding reimbursable expenses was $286.8 million, an increase of 19% over the comparable prior year quarter. Services gross margin for the nine months ended September 30, 2014 excluding stock compensation reimbursable expenses increased to 37.9% from 37.3% in the prior year period. SG&A expense increase to $65.4 million for the nine months ended September 30, 2014 from $57.3 million in the comparable prior year period. SG&A as a percentage of revenues was 19.8% for the nine months ended September 30, 2014 compared to 20.8% in 2013. EBITDAS for the nine months ended September 30, 2014 was $53.5 million or 16.2% of revenues compared to $41 million or 14.8% of revenues for the comparable prior year period. 2014 has included amortization of $10.5 million compared to $5.8 million last year. 2014 has included acquisition cost of $2.5 million primarily related to the acquisition of ForwardThink, BioPharm, and CoreMatrix compared to $1.4 million related to the acquisition of TriTek and Clear Task in 2014. Our full year effective tax rate for the nine months ended September 30, 2014 was 40.8% compared to 30.5% for the comparable prior year period. The increase in the effective was due primarily to the expiration of the research and development tax credit, which is not been reenacted by Congress for 2014. The recording of 2012 and 2013 R&D tax credits in the first quarter, 2013 and the US production deduction for 2010 to 2013 recorded in the third quarter, 2013. Net income for the nine months ended September 30, 2014 increased 5% to $16.7 million from $15.9 million for the nine months ended September 30, 2013. Diluted GAAP earnings per share increased to $0.51 from $0.50 for the nine months ended September 30, 2013. Adjusted GAAP earnings per share for the nine months ended September 30, 2014 was $0.94 a share of 16% from the prior year period. We ended the third quarter of 2014 was $74.8 million, an outstanding debt and $5.4 million in cash and cash equivalents. With stronger October cash flows debt today is been reduced to $56.5 million. A balance sheet continues to leave us well positioned to execute on our strategic plan. Our day sales outstanding on account receivables were 92 days at the end of the third quarter, 2014, which is up from 78 days at the end of the third quarter, 2013. The DSO increased during the quarter, primarily due to the timing of invoicing during the new ERP system implementation, which is now returned to normal levels. Collections in October was strong and DSO should return to historical levels, no later than the first half of 2015. With that, I'll turn the call back over to Jeff. Jeff?
Jeff Davis: Thanks, Paul. Well as I kind of alluded earlier, is a strong quarter overall and of course another great quarter for software resell. We've talked about that before, obviously not our primary focus, but a key differentiator for us in the market and an important service, we provide both our clients and our partners. And of course, we are pursuing that because it leads to services work. From the industry perspective, the healthcare and financial services verticals continue to perform very well and steadily. Heading into 2015, we are also optimistic around categories like oil and energy, retail and consumer goods. Our vendor partners continue to recognize our work and expertise with various awards during the quarter; we received high profile awards from both Oracle and IBM additionally at Oracle OpenWorld. Our client B/E Aerospace received The 2014 Oracle Excellent Award for Fusion Middleware Innovation and Big Data and Business Analytics. Based on Oracle EPM work, we partnered with them, around financial consolidation reporting cycles. That's particularly important, as we have been working hard to reaccelerate our relationship with Oracle, so we are pleased to see that. I'm also sure that you saw, our board recently authorized another expansion of our share repurchase program taking the total program authorization now to $100 million. Our balance sheet continues to provide us with flexibility to invest in the business pursue accretive M&A and execute the share repurchase program, as appropriate. By the way, we've got about $22 million now outstanding on that authorization. Speaking of M&A, on last quarter's call, we referenced still being hopeful that we'd be able execute one additional transaction during the year and we're still working toward that goal, we've got an opportunity in work right now. Of course, we will share all the appropriate details when and if, we are able to finalize that, but I'm optimistic that we will, finally I want to touch base on important announcement we made in early September around the establishment of a domestic delivery center in Lafayette, Louisiana. Couple of joined Louisiana Governor, Bobby Jindal to unveil our plans for the center, which will enable us to offer even more options and flexibility in delivery to our clients and further ensure that, we always have the right skills and the right place, at the right time, to serve our customers. We're still early in the process there, but we've secured space and things are underway, we'd actually kicked off the opening of the center, this month and we are keeping some details there close to the vest for competitive reasons, but I expect we will be able to provide some more color as 2015 gets underway. I can tell you that, we've had number of our existing clients expressed an interest in leveraging that facility. So turning the attention now to our expectations for the fourth quarter. Perficient expects its fourth quarter, 2014 services and software revenue including reimburse expenses to be in the range of $110 million to $120 million, comprised of $101 million to $106.2 million of revenues from services including reimbursed expenses and $9 million to $13.8 million of revenue from sales to software. The midpoint of the fourth quarter 2014 services revenue, guidance represents growth of 20% over the fourth quarter, 2013 services revenue. Companies revising its full year 2014 revenue guidance to be in the range of $441 million to $451 million and the 2014 adjusted earnings per share guidance to the range of $1.27 to $1.31. With that, we'll open the call up for any questions. Operator?
Operator: (Operator Instructions) our first question will come from Mayank Tandon from Needham & Company. Please proceed.
Mayank Tandon – Needham & Company: Thank you, good morning. Jeff, as I look at the quarter obviously the margin expansion was very strong and also you had very strong results on the software and hardware side as you said, but services seem to be a little bit light. I just wanted to get your sense of what, is driving that softness and also, as I look at the guidance. As you've mentioned, you've trimmed the range a little bit, it seems to be more services related, you could just speak to what is maybe the areas that are soft and versus, what you had expected last quarter.
Jeff Davis: Sure. So as you know, we started the year pretty optimistic about accelerated organic growth better than what we've produced, and we expect some of them come in second half and it just hasn't materialized. I wouldn't say there is specific softness around the summer months. There was definitely an extension in sales cycles and we saw that and I've heard another competitors calls, refer to that as well. The good news is, that we've seen it come back also. October was a strong month for bookings and as you can actually see in the guidance on a year-over-year basis. The fourth quarter guidance is really better, than the results from third quarter in terms of organic growth. And by the way, I should also note that, typically in the fourth quarter. We see, the seasonality sequential decline of 3% to 4% and I think our midpoint on our guidance is only down about 1%. We've actually got a shot at being flat, which again on a year-over-year basis is good. It also indicates that we are growing through that seasonality, and offsetting some of the seasonality with growth. So we remain optimistic going into next year. However, to be sure. We did not produce the kind of growth that we expect to hear in the second half, margin expansion as you noted is been very, very strong and one of the things and I mentioned in the prepared comments that we're going to be pulling some leverage next year. We've been very focused on closing that rate gap between us and a lot of our main competitors, the competitors we've seen most often. We've had great success with that, but honestly I think we've been overly focused on that, focused on that to the point where we haven't been enough focused on organic growth and that's what's going to change going into next year. So we got a balanced plan, that we are putting in place around the incentives for sales team, that's going to bring more focus back to the organic growth, while maintaining by the way, incentives and focus on margins. So I'm optimistic that we'll see improvement to organic growth going into next year and throughout the year, but yes, we're little disappointed in where things ended up in the second half. Although, again if you looked at lot of our peers, I think we're still ahead of number of them maybe behind a couple of the offshore firms.
Mayank Tandon – Needham & Company: Okay that's helpful color, but just to put a little bit more. So in terms of organic growth, I think for the first half, you're averaging about 5% correct me, if I'm wrong? And then, in terms of the third quarter, and then the fourth quarter guidance, what was your organic growth rate in 3Q and then what are you building into 4Q?
Jeff Davis: Third quarter was a little under between 3% and 4%, we're right around 3.5% and the midpoint of the fourth quarter guidance is 5% again.
Mayank Tandon – Needham & Company: Okay, so that will be in line with the first half? The 5%?
Jeff Davis: Yes.
Mayank Tandon – Needham & Company: Okay and then that you mentioned, some of the softening and I just wanted to get a sense. Your peers have called out healthcare is being the area, that has incrementally softened because of potential delays in regulations and then around discretionary projects, is that what you're seeing as well or is it more broad based for you?
Jeff Davis: I think it's more broad based for us in fact, healthcare. And healthcare is always shabby [ph]. I think the remains a lot of uncertainty out there, not so much in the laws anymore. I think the dust is settled there, although with watching results from Tuesday that remains to be seen. We've not seen any impact, I think from that, it's been more matter of both hospital systems and payers, still trying to figure out, where do they apply their resources and dollars and what are they going to tackle. We've had great success there. Our bookings for the third quarter, were like 47% healthcare I believe. So healthcare is very, very strong for us right now. And in the second half of the year, it's been strong. I think it's going to continue to be and going in the next year. I still think it's going to be a leader for us from a growth catalyst [ph] perspective.
Mayank Tandon – Needham & Company: What was the book to bill in the quarter? And then going back to the discussion around margins, if I understand your comments, you said, you caught up with some of your peers on the pricing side or at least you're closing the gap. Do you still expect some pricing expansion next year and then what are some of the other levers you have, to drive margin expansion over and above its pricing leverage?
Jeff Davis: Yes, good question. So, the book to bill ratio through October is a little over 1 reflecting kind of the softness we saw in the third quarter, but again October picked up significantly. I think the book to bill in the month specifically was well over one and again, brought up the whole six month average back above 1 and I expect that trend will continue through the end of the year. In terms of the competitors and rates, we are closing that gap some, but they're still substantial gap. So I do think there is some room on the rates, however, again our focus is going to be more on volume next year or more balance review of volume and margin. I do think, there will be incremental improvement to rates throughout the year. Probably slightly ahead weight of the wage inflation, which I would put it about 3% or 4%. So that's our expectation and that's our goal, but in terms of other opportunities or other levers to drive additional margin. Our utilization in the third quarter this year was 78% compared to a year ago, at 80% and really the third quarter should be a strong quarter for us and I'd like to see that utilization more into the 80's below 80's, 81%, 82% something along those line. So you can see that if, we added that 200, 300 basis points to utilization, the impact it would have to gross margin as well as all other margins would be significant. And I'm optimistic that returning to more accelerated organic growth will drive that additional utilization. So utilization is what will be focused on, going in the next year and you know, really just one or two points make us substantial difference and can really continue to expand margins. Remember that our goal around services gross margin is about 40%. So we're at 39%, you know it is 40%. We're at 39% this quarter and for the year, we're going to be in the high 30's and I'd like to see us getting into maybe not for the entire year, but getting around 40% or so maybe low 40s. One or two of the quarters of next year. So that's our goal, so we are shooting for very, very close to that. I think that doing that and keeping that sustainable and then focusing on continuing to drive economies which you can see in this quarter, we had substantial improvement to EBITDA and EBITDAS, but that will continue as well.
Mayank Tandon – Needham & Company: Great, thanks Jeff. I'll get back in the queue, if I have anything else
Jeff Davis: Thanks, Mayank.
Operator: (Operator Instructions) our next question will come from the line of Brian Kinstlinger from Maxim Group. Please proceed.
Brian Kinstlinger – Maxim Group: Great, thanks. Good morning.
Jeff Davis: Good morning.
Brian Kinstlinger – Maxim Group: First, in your prepared comments. I think you've mentioned on two occasions, establishing a foundation to drive increased volume. I'm wondering, if you're going to expand on that progress outside of the incentive change, which is being done. And then, in addition how are the sales folks responded to changes in commissions, to growing longstanding clients versus going out and winning new business?
Jeff Davis: Yes, I think so, the answer to your question. Our primary lever is the compensation plan or the commission variable compensation plan, not just for the sales folks but for all of us. And so we're all tied to, at aggressive great goal, in internal aggressive growth goal that drives our variable compensation, which is significant component of our compensation, just like it is for the sales folks. So that's the main lever that I'm referring to, in addition to that of course, we've got land and expand strategy in place, that we've talked about. We've identified throughout the country and all the various regions that we operate, what our strategic target accounts are, what enterprise accounts are, and beyond that additional stratification of accounts and we've executed again their strategy and I think it's worked very well. If you look at our top 50 accounts as an example. We've managed to grow those on 8% to 10% basis, organically over the last three years or four years. What we need to do is and we are shifting from the focus on the top 50 or top 100 to you know the next tier down as well and continue to drive on an account basis and managing by account. You hit the nail on the head though, I think in terms of our current plan, did not provide enough incentive for our sales guys, to go out and win new names. It's important in this industry or really an industry I think, to foster a healthy relationship with existing clients, to continue to be there to serve them, in every way that we can and expand those relationships, to their maxim potential for us. And we obviously intend to do that, again I think are executing well on that mode. I think, what we need to do is, is introduce more new accounts to the mix, to help drive that incremental growth and as an example, this year our EP [ph] business rate is 90%, that's 90% of our revenue this year, will come from clients, we served last year, that's the trend so far, we're going to couple months less, I'm sure, we'll be at that level. Historically, it'd had been lower than that, 85% and that's I think a healthier number, 85%, I think 90% is a little too high, so we need the balance. We want to keep the 90%, but you know then come back and add incremental new business to that, that drives us again hopefully to a double-digit level, that's our primary goal. We are not going to guide to that, that's an internal goal, but I can tell you, that's what our incentives are all around and we are again shifting the sales guys to have similar incentives. You know the reaction, the plan is not fully rolled out yet, so we haven't really gotten a reaction yet. We've got a fantastic team of sales folks very professional team. I think they will adapt to the new plan just fine, and they're fair-minded folks and I think they'll see that anytime you change anybody's compensation it takes some transition and we obviously were not exception, but we've made changes before and the folks, have not only embraced it, but really driven results beyond, what we haven't expected. So I expect the same thing will happen. It's a great team.
Brian Kinstlinger – Maxim Group: And then how long do you think, it will take in order to see the change in volumes, where you see a shift towards flat to an increasing volumes that first half of the year, is it second half of the year, how do you view that?
Jeff Davis: I think by the, I'm sorry. I think by the end of the first half, we should start to see results.
Brian Kinstlinger – Maxim Group: Great and then, I'm curious how focusing on winning new customers, changes your average bill rate growth, will it be modest next year and maybe what does that mean for next year as opportunity expand operating margin, will it be little bit less than typical, is that what we should anticipate?
Jeff Davis: You know I think a good goal for us, for rate expansion, rate increase next year and year-over-year basis. So we are already on, significant run rate, right?
Brian Kinstlinger – Maxim Group: Right.
Jeff Davis: I mean, we did 10% this quarter, so if we stop raising rates, we'd still get a nice carryover from that into the next year. So I think, kind of minimum goal is probably still going to be 5%, which is again above our cost increases. So we should get some expansion there and I think, we'll able to achieve that again, the plan will be more balanced. So it's not going to drive, the kind of acceleration around rate increases, that we've had in the past. I think it's, I think we've gotten to a point with the margins I explained earlier, that were pretty satisfied, is just a little bit more that we want to do and then really, drive to focus on the top line and on volume.
Brian Kinstlinger – Maxim Group: Now there were four acquisitions that going over year-over-year comp from CoreMatrix, I think a trifecta and reaching 3% to 4% organic services growth rate, does that suggest these four acquisitions are meaningful lower revenue run rate, than when you bought them, is that where the weakness is coming from?
Jeff Davis: No it's, we did three this year, there might be one, that's not in the Q3 from.
Paul Martin: CoreMatrix!
Jeff Davis: CoreMatrix, yes. So now, there is more than two of those that did not perform. Well one specifically, that it did not perform at the level that we like, its improving, but the others actually have performed well.
Brian Kinstlinger – Maxim Group: Okay and then, I'm curious, I mean clearly you mentioned. A little bit of disappointment, how services growth is played out. Are there a specific vertical or two that you've seen sales cycles length in or the ramp ups go a little bit slower and do you think it's temporary or you think, the trend is going to continue?
Jeff Davis: You know, I think it's temporary. One of the things that effect, its two things that I think really affected this year. One, was actually softness in healthcare and by softness, I'm talking really extended sales cycle. It's really getting the decision made and ultimately, those decisions have gone our way and gone well, but it's taken longer in some cases. One of the things I can say around healthcare and again, I think it's just all the noise that's going on in that industry, is that you can see sales cycle just expanding and contract sort of regularly. So it's kind of hard to monitor, hard to pin down. Right now very, very strong and I would say shorter sales cycles, phenomenal bookings and healthcare in the third quarter and we've got a great pipeline in the fourth quarter and expect to actually have very strong booking [indiscernible]. And other industry though, that it was impacted for us this year was retail. Retail is a great fit for us, we are very excited about potential there. We've got, a toolkit around retail from everything from management consulting and helping these particularly brick and mortar companies attack the omnichannel problem that they have with customers who are phoning in orders, going into stores and working online or going on the commerce sites. So we've got everything from management consulting to actually implementing the commerce engines. You know and that scenario, where we enjoyed really nice strength and growth last year up until the point, where we saw all the security issues and then not surprisingly then industry really shifted its attention and focus resources and dollars on fixing those security problems and preventing any future ones. So that impacted us this year, our retail revenue is down, but we see it coming back already and we remain optimistic about next year and beyond in that space. It's a perfect fit for us actually.
Brian Kinstlinger – Maxim Group: And then you mentioned oil and energy and consumer goods is three areas of opportunity. I think, sounds like, I would suggest for next year. Since we're at the end of the year. What's driving those industries to increase IT demand?
Jeff Davis: Well, certainly and I kind of covered retail and consumer goods. I would sort of lump together in the way, I'm talking about. It's been movement of data and the integration between the consumer goods company and the retail outlets that sell their goods and all that. So there is the opportunity there. In terms of oil and gas, you know it's an industry that is doing very, very well. They've got a lot of money and they've been using that money, deploying that money. I would say more aggressively other industries are, that's going to be sitting on cash and of course, oil and gas, oil and energy has so much cash, it's hard to center all, I guess, but they're spending money, improving their business, adding technology and improving the technology everything from literally fracking technology and big data, data analytics around mining and identifying deposits, all the way through serving the end consumer with smart meters and app technology. As well as just improving the efficiency of their business, so I said they've got to might spend, they're spending it and really upgrading the technology and I would say improving their business through improving business process.
Brian Kinstlinger – Maxim Group: Great, last question I have is, how you think about share repurchases versus acquisitions. You built a little bit a debt obviously with your acquisitions, so that you've already completed. So how did you weighted [ph] two as you look forward.
Jeff Davis: Yes, it's a good question. I think, we feel like the stock is undervalued here and certainly, we plan to step up the buyback. We – as I mentioned earlier we extended the authorization there. We've got, I also mentioned remaining on that authorization about $22 million and we do intent to deploy a good chunk of that next year, possibly all of it. In terms of acquisitions, I mentioned we've got one more this year that I believe will get down. I'm optimistic and then like we did from the beginning of last of this year, to the end here. We will take a break again and in that break, we're going to be focusing organic growth and we're going to be focusing on buyback and I think, that break will also allow us to free up some cash to use that way. So we are very bullish on buyback, I can tell you that.
Brian Kinstlinger – Maxim Group: Great, thank you so much.
Jeff Davis: Thank you.
Operator: Our next question will come from the line of Peter Heckmann from Avondale. Please proceed.
Peter Heckmann – Avondale Partners: Good morning, guys. Most of my questions have been asked, but just wanted to get an update on this. On the facility in Louisiana kind of the timing of the expense ramp, you're looking to opening that facility and staffing it up and those employees, would in terms of counting them for our model, would they appear in the offshore line or how exactly does that impact our blended billed rate and how we model?
Jeff Davis: Yes, so I'll start at the end. They will be considered North American employees for our purposes. As that center grows and if it grows to the point, where we really think it's maybe diluting rates. We'll probably break it out as well, but it won't be with offshore, it will be, its own separate category. So obviously, it's a slow ramp up. We've got two, three employees literally now. We just opened the facility, just starting, just bought furniture, and we do have a small book of business by the way. We've got a maintenance to support offering that we have now. We've got some legacy clients that are on that program. So we'll be transitioning that work into the center and sort of the first piece of business that they'll be doing there and then building on it from there, kind of as the demand allows. We are not going to build very far ahead. Although, like we did with offshore, we will drive more of higher to bench approach there. So you've got those resources available to be deployed quickly and also potentially any training, that we might need to do. So you know, specifics on headcount numbers for next year, Pete. I don't have in front of me and we've got a model that we've modeled out and I'd be happy to provide that, maybe we'll post something or send you guys all something to give a little more detail around the center. I don't think there will be a major impact next year to headcount. We are not going to hire 200 people tomorrow. So the numbers, I think will be lower than that, if things work out great, that might not be true, but my expectation is, that we end the year, next year somewhere around 40 people or 50 people, there.
Peter Heckmann – Avondale Partners: Okay that's helpful and then, just I would expect given current utilization rates, current bookings rate. You know probably the organic hiring is somewhat new to them. I would expect you hiring in kind of select areas, where you're always hiring, but are you sensing any change in expectations on the product candidates, in terms of compensation, while we continue to hear somewhat tepid commentary from a number of IT services peers? Certainly there are some tech companies that are hiring internally and does that competition provide some wage inflation?
Jeff Davis: You know, great question. So we've looked at a few different sources, third-party sources and we specifically modeling offshore, but also onshore and I think I mentioned earlier, we expect wage inflation in the US for IT at about 4% next year. However, we won't experience all of that. We are continuing to build out the base of our pyramid. So a lot of the hires that we are bringing in are new hires or more junior and below our average cost. So for Perficient, we'll be modeling about 3% increase to cost driven by wage inflation.
Peter Heckmann – Avondale Partners: Helpful. Thank you.
Jeff Davis: Thank you.
Operator: And with no further questions in the queue. I'd like to hand the call back over to Jeff Davis for closing remarks.
Jeff Davis: Alright, thank you all, appreciate your time today again and look forward to speaking to you in about four months, with our year end and full year guidance for 2015. Take care.
Operator: Ladies and gentlemen that concludes today's presentation. You may now disconnect, have a great day.